Operator: Good morning and welcome to Beasley Broadcast Group's Second Quarter 2020 Conference Call. Before proceeding, I would like to emphasize that today's conference and webcast will contain forward-looking statements about our future performance and results of operations that involve risks and uncertainties described in the Risk Factors section of our most recent annual report on Form 10-K as supplemented by our quarterly reports on Form 10-Q. Today's webcast will also contain a discussion of certain non-GAAP financial measures within the meaning of Item 10 of Regulation S-K. A reconciliation of these non-GAAP measures with their most directly comparable financial measures calculated and presented in accordance with GAAP can be found in this morning's news announcement and on the company's website. I would also like to remind listeners that following its completion, a replay of today's call can be accessed for five days on the company's website, www.bbgi.com. You can also find a copy of today's press release on the Investors or Press Room sections of the site. At this time, I would like to turn the conference over to your host, Beasley Broadcast Group's CEO, Caroline Beasley. Please go ahead.
Caroline Beasley: Thank you, Chantal. And good morning, everyone. Thank you for joining us to review our 2020 second quarter operating results. First of all, I'd like to say my apologies for any confusion on the conference call time this morning. And then moving on, Marie Tedesco, our CFO, is on the call with me today. As the world continues to confront the challenges brought on by the spread of COVID-19 and as our country continues to respond to the changes in our day-to-day lives, our priority, as it has always been, is to ensure the health and safety of our employees while they are returning to work and delivering premium local content and critical information that our listeners trust and rely on. As we get started, I want to acknowledge all of our team members for their efforts to provide listeners and users with continuous access to the local news, information and the other critical services we provide as we are presented with the challenges of the pandemic and recent civil unrest. We take our commitment to the communities we serve very seriously. Throughout our nearly six decades as broadcasters, we've stressed targeted localism across our platform and actively supported our communities. With a greater than ever percentage of our audience working from home and practicing social distancing, now more than ever, people need a trusted companion, one that connects them to their communities. And I'm proud of our teams for their perseverance in upholding this commitment despite the challenges now being faced. As expected, our second quarter results reflect the direct impact of the pandemic on national and local advertisers. Since the nationwide virus outbreak, we've been working diligently to preserve liquidity and best position the company, our stations, digital operations and esports interest for renewed long-term success. In this regard, we've significantly reduced our overall expenses and daily cash burn through several key steps, including reduced operating expenses, permanent terminations, placing certain employees on unpaid furlough, and we negotiated temporary and permanent discounts with landlords, service providers and partners. I reduced my salary by 20% since April 1 through the end of this year. And our staff, including our executive management team, have also taken a 10% salary reduction for the same time period. In addition, the Board has suspended future quarterly dividends. Overall, the company has reduced its operating expenses through year-end by more than $26 million. On the balance sheet, between March and April, we drew down $9 million on our revolver to enhance our liquidity. And with the resulting loss of revenue, we amended our current credit agreement to bridge us through the worst of the pandemic until we can resume normal covenant reporting in September 2021. Until such time, we will be operating under a minimum liquidity test and. later this year, a minimum EBITDA cap. Now, looking back to the beginning of this year, we generated solid financial performance in the first two months, followed by March, which demonstrated the early impact of the significant economic changes created by COVID. The impact from the pandemic caused our revenues to decrease 53.7% in the quarter. During the second quarter, we drove monthly sequential dollar improvements in revenue from April and we see the same pattern of month-over-month improvement in our pacing data for the third quarter. With the pandemic's impact changing almost daily, we continue to have limited visibility longer term, but with the rebound trends we've been experiencing since May and the expectations for near-term robust political revenue, our goal is to reduce the percentage declines in net revenue sequentially through November. And I will say here that we are entering the month of August with greater revenue numbers than we ended the month of July. So, we are seeing this trend continue. While the pandemic has presented serious challenges and setbacks for the entire industry, we believe the actions we've taken early on, the experience of our team, our balance sheet focus and the quality of our stations, content, personality and the role we play in the communities will be key factors in our ability to rebound on the other side. Finally, and despite the pandemic, we continued to make progress with our digital initiatives, with Q2 digital revenue down 15% year-over-year, however, up 13% on a year-to-date basis. Digital now accounts for 13.9% of our total revenue for the quarter and it accounts for 11% on a year-to-date basis. This compares to 7.4% from last year's second quarter and 6.7% on a year-to-date basis last year. So, now I'm going to hand it over to Marie, who's going to provide a thorough review of second quarter.
Marie Tedesco: Thank you, Caroline. I will start with a review of the second quarter results followed by a review of our balance sheet. Second quarter net revenue decreased 53.7% or $35.3 million to $30.4 million, which includes $823,000 from our esports teams, the Outlaws and the Renegades. We generated $228,000 in net political revenue compared to $110,000 in the prior-year second quarter. Breaking down the quarter, April was down 60.4% year-over-year; May was down 60.6%; and in June, we saw a 43.7% decrease year-over-year. The decreases were broad based with a few markets doing slightly better, including Augusta, Detroit and Fayetteville. Station operating expenses for the quarter decreased 13.4% to $41.4 million and includes $1.9 million of expenses related to our esports teams that we did not have in 2019 or, as in the Renegades' case, not included in our reporting in the comparable period. We added $613,000 in expenses from the September 2019 WDMK acquisition. And we also incurred $1.3 million of expenses related to our digital growth initiatives, which was recorded under corporate expenses during the second quarter 2019 that are being allocated to our stations in 2020. In response to the pandemic, we have diligently been reducing operating expenses, beginning with the company-initiated expense cuts on April 1, 2020 of $13 million. After reopening of businesses were delayed, and especially so in our key markets, we initiated a second round of cuts beginning June 1, 2020 with an additional $8 million. These cuts are in addition of voluntary market cuts done in first quarter of close to $5 million. Now looking at our revenue categories for second quarter on an actual basis during this pandemic period. Consumer services remained our largest revenue category at 36% of our revenue and we had a 36.7% year-over-year revenue decrease for the quarter. This includes service-oriented businesses. And this category had the least decline within the quarter. Our second largest category in second quarter was retail, which represents around 16% of our revenue and the retail category declined 61.2%. Auto moved into our third spot with revenue down almost 69%. Auto was 8.6% of total revenue for the quarter. This category was hardest hit in Boston, Philadelphia, Charlotte and New Jersey. Our fourth largest category was consumer products, such as pharmaceutical, food, beauty products and auto parts. And this category declined nearly 69%. Telecom rose up to top 5 with a decrease of 46%. On a same-station basis, consumer services decreased 37.6%, retail declined 61.4%, auto was down 69%, consumer products declined 77%, entertainment down 78% and telecom was down 47%. Corporate G&A expenses for the quarter decreased $1.7 million compared to the same quarter a year ago to $3.7 million. The year-over-year decrease in corporate G&A is related to the previously discussed expense reduction initiatives as well as the mentioned allocation of certain digital expenses from corporates to our markets. And to quantify the digital investment, we spent approximately $1.3 million in the second quarter and $2.4 million year-to-date. We will continue to shift these digital expenses to our markets through the balance of 2020. Non-cash stock-based compensation was down 60% to $199,000 in the quarter. We had an income tax benefit for the quarter of $6 million and our effective tax rate for the quarter was 26.4%. Reported second quarter 2020 operating income was approximately a negative $17.6 million compared to a positive $10.7 million in the year-ago quarter. The operating income reflects the SOI decline of $29 million, as described earlier, and an increase in depreciation and amortization of $1.1 million, which was offset by lower corporate expenses. Total second quarter interest expense decreased $695,000 year-over-year to $3.9 million. We did not have any scheduled first lien debt payments during the quarter and we reduced the balance sheet of our seller note by $500,000 during the quarter. No other voluntary payments were made during the period. We ended the quarter with cash on hand of $22.8 million. Our total outstanding debt as of June 30, 2020 was $273 million, which includes a previously announced $5 million cash infusion from George Beasley. This compares to $268.5 million at March 31, 2019. The current quarter debt includes $10 million of unsecured debt related to the Houston Outlaws acquisition and the additional drawdown of $9 million against our revolver done as the onset of COVID-19 impact became evident. Based on the latest amendment to our current credit agreement, there were no covenant measures as of 06/30/2020. We spent $2.5 million in CapEx in the quarter compared to $2.8 million in the prior-year quarter and $6 million year-to-date compared to $4.9 million year-to-date 2019. We have reduced our projected CapEx spend through the end of the year as we have put scheduled projects on hold. And with that, I will turn it back to Caroline.
Caroline Beasley: Thank you, Marie. So, to provide more color on second quarter revenue, spot revenue was down 61%, with local down 61% and national down 62%. We also saw our smaller markets being less impacted by COVID, and this is partly due to their focus on local direct business and, of course, the delayed opening of some of our larger markets, including Boston and Philly. Digital revenue, as mentioned earlier, was down 15%. Moving on to the esports front. We're very pleased to report that in early May, the Outlaws began participating in the first-of-its-kind Esports Guild and team competition series, the Lone Star Showdown played in the Dallas Fuel, which took place over a three-week period with Samsung serving as the anchor sponsor. The challenges and matches were professionally produced by Overwatch League casters, Jake Lyon and Mitch Uber Leslie on YouTube. And to drive further audience awareness and reach of the event, we partnered with Tegna, who owns TV stations in both Dallas and Houston as well as 11 other markets throughout Texas to produce a weekly docuseries chronicling the competition and to show what life is like as a professional esports player. The series highlighted how esports is thriving and continues to reach new fans as one of the only leagues in the world with continued competition during COVID. Now moving on to third quarter. We're not going to be providing specific guidance for the quarter due to the uncertainty of the current business environment. However, we are seeing positive progressions month-to-month, including solid political revenue contributions, with July ending down approximately 32%. And our goal is to generate monthly sequential improvements in our pacings for the quarter. And as I mentioned earlier, we're entering August at a higher revenue number than we ended July. So, we continue to navigate through the evolving challenges presented by the pandemic based on our core value of serving our local communities with great content and entertainment and critical information, whether that's on air or online. In this regard, Beasley stations and our teams have carefully provided our listeners and users up to the minute information not only on the pandemic, but the civil unrest and protests related to race relations. In closing, today's challenges allowed us the opportunity to step back and reassess our business model. We will emerge on the other side of this pandemic a stronger, smarter and more agile Beasley. In addition, Beasley and the radio industry have a unique opportunity during this time and we must not forget that. We are live and local. We serve our communities and we are free. And we at Beasley are reinforcing this every day as this sets us apart from our competition. I'd like to thank our employees for everything they've done and are doing to help us get through the many challenges that we are facing. So, with that, Marie, I think we have a couple of questions that we're going to address.
Marie Tedesco: Yes. We received several questions, of which most have already been addressed on this call. I will review a few additional ones with the first one as follows. With regards to the $26 million of cost cuts referenced in the press release, is this on a run rate basis and are these cuts permanent?
Caroline Beasley: So, the $26 million is for 2020. The majority of these cost cuts are permanent. However, about 20% of this is based on the temporary wage cuts. Another 20% is based upon performance. So, as revenue returns next year, we expect some of these expenses to return.
Marie Tedesco: Thank you. And finally, we were asked to touch on thoughts on the working capital going forward and whether or not advertisers have been stretching their payments. So, first of all, we are very prudent with our spending. And as Caroline mentioned earlier, we have made substantial expense cuts that will benefit our working capital going forward. We saw a fairly significant stretch in advertiser payments early on. And even though our accounts receivables are at higher levels than normal, we are now seeing some of that older receivables coming in. Our collections are in line or slightly better than projected.
Caroline Beasley: Okay. So, that concludes our call today. I'd like to thank you for dialing in. And should you have any questions, please feel free to reach out to either Marie or myself. Thank you. And hope you have a great week.
Operator: Thank you very much. Ladies and gentlemen, this now concludes today's conference. You may disconnect your phone lines and have a great rest of the week. Thank you.